Operator: Hello, ladies and gentlemen. Thank you for standing by for iClick Interactive Asia Group Limited's Third Quarter 2018 Earnings Conference Call. At this time, all participants are in listen-only mode. After management's prepared remarks, there will be a question-and-answer session. Today's conference call is being recorded. I will now turn the call over to your host, Ms. Lis Li, Senior Manager of Investor Relation. Lisa, please go ahead.
Lisa Li: Hello, everyone, and welcome to iClick's third quarter 2018 earnings conference call. The company's results were issued earlier today and are posted online. You can download the earning press release and sign up for our distribution list by visiting the IR section of our Web site at ir.i-click.com. Sammy Hsieh, our Chief Executive Officer and Co-Founder, and Ms. Jie Jiao, our Chief Financial Officer will provide an overview of the quarter and then we will turn the call over to Q&A. Before we continue, please note that today's discussion will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's results may be materially different from the views expressed today. Further information regarding these and other risks and uncertainties is included in the company's prospective as filed with the U.S. Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements, except as required under applicable law. Please also note that iClick's earnings press release and this conference call include discussions of unaudited GAAP financial information, as well as unaudited non-GAAP financial measures. iClick's press release contains a reconciliation of the unaudited non-GAAP measures to the most directly comparable unaudited GAAP measures. I will now turn the call over to our CEO and Co-Founder, Sammy Hsieh. Please go ahead.
Sammy Hsieh: Thank you, Lisa. Hello everyone, and thank you for joining us today. Before we discuss our third quarter results, we announced today that our Board of Directors has approved a share repurchase program in which the company may purchase its own ADS, with an aggregate value of up to $10 million over the next 12-month period, ending on November 27, 2019. We believe this repurchase program provides an excellent opportunity to invest in the company's future. Next, I'll get to our results. I am pleased to report that we had a strong 2018 third quarter, including record adjusted EBITDA and historically low adjusted net loss. In addition, our mobile audience solution, which provides 89% of our overall revenue, saw gross billing more than double, and net revenue rise 51% compared with the third quarter of last year. I am pleased to report that by the end of this year's third quarter, we expanded our consumer datasets to 780 million active users' profiles, and we also continued to gain market share, commanding 6.3% of China Mobile audience solution market by the end of the third quarter, compared with 4.3% for 2017. Each of these results further establish iClick's number one position in China's independent marketing technology sector, a position confirmed by the leading business research firm Frost & Sullivan. And due in large part to this success, we have recently taken steps to expand our business to some highly promising non-media related innovations. For example, during the third quarter, we raised $30 million by issuing convertible notes to LIM Advisors, a Hong Kong fund exploring with us on many exciting investment opportunities. These funds will support the investment of many proprietary apps and media assets, and help support our M&A pipeline, including certain [ph] potentially lucrative partnerships throughout South Asia. We are also continuing to expand our business [ph] application in new areas. In specific, we are transforming our business intelligence solution offering into a standardized customer relationship management or CRM systems that provide market insights and business strategy recommendations to major retailers and resellers throughout China. As you may know, many of these companies struggle with integrating the information and scattered data required to track potential customers and generate more sales. However, as a result of our collaboration with Tencent mini programs and Tencent Cloud, we are now offering real-time CRM solution comprising our data management platform and marketing cloud systems. This product, we believe, will satisfy the needs of major retail brands and resellers to allocate their resources effectively and efficiently, with a one-stop shopping solution. Our CRM solution has already been deployed in China for a number of international brands, including a major fashion retailer, as well as a major oil and gas company. Looking ahead, we believe this solution will be received favorably by many other new and existing clients, that it will provide a significant margin contribution to our business in 2019. Of course, generating more exposure for our solution is key to reaching more marketers and converting them into iClick clients. Helping us achieve this goal we recently won the Best Brand and Performance Marketing Award at the Performance Marketing Ecosystem Summit, 2018, hosted by Advertising and Marketing Services, a division of [technical difficulty] to create an ecommerce platform that allows retailer to easily identify and directly target the more than 130 million annual outbound Chinese travelers. This platform, which is expected to launch in China in the first quarter of 2019, utilizing iClick's proprietary technology capable of gathering precise date from hundreds of millions of profiled Chinese consumers, including which Web sites [ph] individuals typically visit to shop for certain products and services. We are seeing strong interest from many duty-free shops and luxury brands to participate on this platform, and expect it to be a key contributor of incremental revenue to our company going forward. We are also excited about the traction our iAudience platform is gaining into the travel sectors. For example, utilizing this platform, the Palazzo Versace Dubai, a leading five-star fashion hotel, generated almost 90 times more Web site traffic from Chinese travelers, especially the high-spending Chinese travelers, helping the Palazzo achieve a 300% year-over-year increase in business growth. Our iAudience platform has also been utilized by the Armani Hotel Dubai to raise its brand awareness, expand audience reach, and boost booking rates by China's more affluent travelers. So, summing up, on the international front, we are excited and encouraged by how much global brands can benefit from leveraging the power of our advanced data, coupled with the power of our CRM solution. And we fully expect this trend to continue in 2019 and beyond. With that, I would like to turn the call over to our CFO, Jie Jiao, to review the third quarter financials.
Jie Jiao: Thank you, Sammy, and hello everyone. I'll start with a few financial highlights from the quarter. As Sammy discussed, once again, this quarter we achieved strong gross billing and a revenue growth, as well as record-setting adjusted EBITDA, and a historically low adjusted net loss. Our Mobile segment is performing very well with more than 50% top line growth and are more than doubling up gross billings. Our third quarter achievements demonstrate the successful execution of our business strategy, combined with our ongoing focus on effectively managing costs, even during a period of high growth. Now, for our detailed financial results for the third quarter of 2018, gross billing grew to $104.4 million for the 2018 third quarter, up 79% from the 2017 third quarter, primarily resulting from ongoing significant growth in our mobile audience solution business. I would note here, that on a sequential quarter-over-quarter basis total gross billing was unfavorably impacted by depreciation of the renminbi against the U.S. dollar, a trend which could continue into the fourth quarter. Gross profit and gross billing were similarly impacted on a sequential comparison basis. Gross billing from mobile audience solutions increased to $87.1 million during the third quarter of 2018, up by 110% from the same period last year due to larger mobile marketing spend by our clients. Gross billing from other solutions totaled $17.3 million for the third quarter of 2018, a 2% increase from the third quarter of 2017. Net revenues for the third quarter of 2018 grew by 43% to $42.6 million from $29.8 million for the third quarter of 2017, primarily resulting from an increase in net revenues from mobile audience solutions. Net revenue from mobile audience solutions rose 51% to $37.8 million for the third quarter 2018, up from $25 million for the same quarter last year, primarily related to a continued shift toward placing greater emphasis on capturing increased marketing demand in mobile audience solutions. Net revenue from other solutions was $4.8 million for the third quarter of 2018, flat with the third quarter of 2017 related to the shift in focus I just discussed. Gross profit increased by 44% to $9.3 million, up from $6.5 million for the third quarter of 2017, mainly resulting from improved mobile audience solutions' gross profit. Total operating expenses were $23.4 million for the third quarter of 2018 compared with $9.2 million for the third quarter of last year. The increase was primarily due to $11.6 million in share-based compensation related to incentive award and a $2.2 million related to the 30 million of convertible notes that were issued in September. This brings operating loss to $14 million for the 2018 third quarter compared with an operating loss of $2.7 million for the same period last year. Net loss totaled $21.8 million for the third quarter of 2018 compared with net profit of $6.4 million for the third quarter of 2017, mainly attributed to a fair value gain on derivative liability of $7.7 million and an exchange gain of $1.3 million for the third quarter of 2017 while there were exchange loss of $.19 million and a fair value loss on convertible notes of $5.4 million for the third quarter of 2018. Net loss attributable to the company's shareholders per diluted ADS was $0.41 compared with net profit per diluted ADS of $0.12 for the third quarter of 2017. Adjusted EBITDA for the third quarter of 2018 was a record high $1.2 million compared with an adjusted EBITDA loss of $0.4 million for the third quarter of 2017, primarily resulting from the substantial increase in gross profit. Adjusted net loss attributable to iClick shareholders, which excludes share-based compensation expenses, fair value gain or loss on derivative liabilities, fair value loss on convertible notes, other gains and losses, and convertible note issuance cost was $0.8 million for third quarter of 2018 compared with an adjusted net loss of $1.8 million last year. As a reminder, you can find reconciliation for these non-GAAP results in the press release we posted earlier today and which can be accessed at our Investor Relations Web site. As of September the 30th, 2018, cash and cash equivalents grew to $49.8 million, from $19.4 million at December 31, 2017. Time deposits amounted to $7 million, compared with $25 million at the end of last year. I'm now going to spend some time today on a recap of our year-to-date results. But you can find them here on our press release. I'll finish with our guidance, which is updated from our prior estimates due to the impact of foreign currency exchange. For the full-year 2018, net revenues are now estimated to be between $160 million and $170 million, representing 28% to 56% gross from last year. This compares with prior guidance of $175 million to $180 million, with the revision principally due to depreciation of the renminbi against the U.S. dollar. We are leaving our gross billing guidance unchanged, as between $380 million and $420 million, which represents growth of 53% to 69% from 2017. In addition to foreign currency, our outlook is based on current market conditions, and they reflect our preliminary estimates of market and operating conditions and customer demand, which are all subject to change. Now, I will turn the call back over to Sammy for closing remarks.
Sammy Hsieh: Thank you, Jie. In conclusion, we are proud of our accomplishment in our first nine months operating as a publically traded company. Our technology and focus on innovation remain stronger than ever. And I am confident that iClick will continue to build upon its strong momentum in the year ahead as we further leverage our platform, growth our customer base, execute our non-media strategy, and explore acquisition candidates. I would like to thank you, our employees, clients, and investors for their continued loyalty and support, and look forward to share more exciting achievements in the near future. This concludes my prepared remarks. We will now open the call to questions. Operator, please go ahead.
Operator: Thank you. Ladies and gentlemen, we'll now begin the question-and-answer session. [Operator Instructions] The first question comes from the line of Darren Aftahi of ROTH Capital Partners. Please ask your question.
Darren Aftahi: Hi, guys. Hi, Jie -- hi, Sammy, and thanks for taking my questions. I've got a number of I got through them. First, on your revised guidance, I know you called out the renminbi devaluation. I'm just kind of, I guess - and Jie, you made some comments about current kind of business demand. I'm curious if you've seen any change either from tariffs or the broader kind of macro from your advertising clients in terms of spending habits on our 4Q guidance.
Sammy Hsieh: Okay. So, in terms of the macro environment, we do not see that there's much change in terms of like the regular advertising budget from our clients for the rest of 2018. However, give the uncertainties of the macro environment it is possible that some client may push back their new campaigns in 2019, that I believe that, Jie's slide comments on our 2019 outlook, indicated that we have a very healthy growth and also mix of our business. Within our own verticals we believe that the gaming vertical may be a factor by the regulatory changes, but our travel industry vertical outperformed other verticals in the third quarter, further strengthened by the new initiative. We are building up Ctrip, luxury hotel brands and other travel sectors' clients.
Darren Aftahi: Great. And then I'm curious on the CRM initiative. So, I understand you've got the relationship with Tencent, but can you kind of indulge us just in terms of how the platform theoretically will or is differentiated, say, versus the sales force. And then in terms of marketing spend with clients, will we see an uptick on your advertising, or is this just simply an up-sell to your existing client base?
Sammy Hsieh: Okay. So why don't I give some like macro insight of the demand, and then our Product Officer, Yan, can give you some function and features, like comparison with some of the U.S. account. So, we are seeing very strong demand from our clients for our CRM offerings with the collaboration with Tencent Cloud and also the Tencent mini programs. As international brands continue to struggle with data integration, we expected that our CRM offerings will contribute to double digits of our gross profits in 2019 based on the strong pipelines ahead. And also Baidu is very keen on further developing its own mini apps programs. And we have had discussions with them on leveraging these programs. For example, we may design the CRM solution with Baidu like we do with Tencent. This aligns with our strategic focus on the significant opportunities in mobile and also enterprise solutions. We have worked closely with Baidu for a long time, and we look forward to helping them to view new monetization model based on their mini programs.
Yan Lee: Okay, and this is Yan, Chief Product Officer at iClick. With regards to the mini programs and the CRM ship, we're seeing that one, as Sammy has already mentioned before, we're seeing that marketers in China and internationally alike, they are having trouble integrating with the ecosystem itself while they see the huge opportunities for new forms of engagement and CRM with their Chinese users itself. So in terms of the design and functionality, we've designed in a new form of engagement opportunity, either by the mini program itself, but also through internal enterprise WeChat, it creates a new form of customer service as well user engagement and retention models. So with that integration with Tencent as well, it also creates new properties whereby we're able to engage throughout Tencent or other properties to drive acquisitions for user, and then going forward, retention and greater customer lifetime value throughout the lifecycle.
Darren Aftahi: That's helpful. Thanks, Yan. And just have a more -- you talked about the use of cash and you mentioned M&A. I'm just kind of curious if there's more horizontal acquisition or something [indiscernible], and then I've got two more.
Sammy Hsieh: Yes, I think for our M&A strategy, we are focusing on two areas. One will be on our product side, for example, right now we are looking for some target that can help us to enhance our product, because we believe that the data is sitting at the core of our marketer side. For example, now we are offering to our client with a customer acquisition program, to appetizing. But in the future, what if our marketers if they already have some existing client from some of the offline channel, how can they manage. Now, we r looking for some like software company they can help the client to be -- the in-house, like data management program as well as the CRM. So the second area we are looking for is the regional expansion, because right now, given the current macro concerns on the U.S. and also the China trade war. So iClick is sitting in a very beneficiary position because we have 30% of our business coming from overseas advertisers, which give us the advantage so that we can drive more regional like strategy. Remember that we have like 780 million of the unique users' profile, which gives us that with -- like the door opening [indiscernible] where we talk with the regional travelers and also the regional brands who want to target the Chinese audiences. I think the second part of our M&A strategy is trying to expand our solution and also our technology into Asia.
Darren Aftahi: Got it. And then just two more quick ones, what was the cash from operations in the quarter? And then if you looked at your --
Terence Li: Hello, Darren. This is Terence. I'm the Senior Vice President of Finance. In terms of the cash conditions, right now we still have $50 million in our bank account. And we are also increasing certain banking facility in the quarter, so probably we will have more cash for the team to execute the strategy. And in terms of the gross profit margin on a currency-adjusted basis, I think we are pretty much still sitting in the 22% to 24% internal operational guidance. And overall for the first three quarters, we are still sitting at over 23% gross profit margin percentage. So we are still pretty healthy. And of course there are certain GAAP adjustment in the quarter, but whenever we're spending or building some new products we would be able to spend a little bit more cost in terms of R&D, and this cost will be allocated to the gross profit and cost of goods sold as well. So a fair little bit on debt, but overall we are still good on debt.
Darren Aftahi: Thanks.
Operator: Thank you. Our next question is from the line of Fawne Jiang of Benchmark. Please ask your question.
Fawne Jiang: Yes, thank you for taking my questions. Hey, Sammy, just want to get a bit more color on your effort or initiative into the non-media business, particularly the CRM business intelligence solution part. Just, it seems like according to your comment earlier, demand is not a problem. So, if that's the case, how the competitive dynamics look in the industry and how iClick is differentiating from the other potential audience suppliers out there? And in addition, what specific verticals you guys are looking at, and with the margin profile potentially for this business?
Sammy Hsieh: Fawne, thanks for the questions. So to answer your question I will say that in addition to our existing technology, focusing on advertising, so we are expanding into the non-advertising technology business as well, leveraging our strong data capabilities. I think as we have discussed, we are transforming our business intelligence solution leveraging the collaboration with the Tencent Cloud and Tencent mini program, into a more standardized enterprise CRM solution that can seamlessly work with our marketing programs. This is the new CRM and marketing cloud model. We have seen strong demand from our client for this solution as many retailers in China have been struggling with the data integration for a long time. We are already working with a number of international brands, and foresee a strong pipeline ahead. Right now we expect our CRM offerings will contribute 10% of our gross profit in 2019. In addition, our iAudience solution is also gaining traction with our international business, such as Palazzo Versace Hotel, Armani Hotel, which also validates the value proposition of our data, and will help us to drive new data services income in the future. Our finance and IR team is working on a new presentation for 2019 which could disclose more information about our progress of these new solutions.
Fawne Jiang: Understood, that's helpful. Just a quick follow-up there, Sammy, I think you also mentioned that iClick expanding internationally -- at least planning in '19. Just wonder how much does international business contribute currently, and how should we look at your effort or strategic move on the international front into '19, but both on the data side as well as on the media side?
Sammy Hsieh: Okay, that's correct. We are expanding our footprint into the regional market. So currently we have around like 30% of our business coming from overseas. So we are looking for strong local partners in South Asia countries driven by the one belt one road policy. We believe that there may be -- there are more opportunities to export certain advanced technology business model to these countries from China. Our strategy is to target local partners with the local networks consumer base and data sets that can help us to create clear synergies with us by leveraging our expertise on the internet and digital marketing spaces. We aim to create new and proprietary media networks a bit smaller in these countries. The collaboration with Ctrip on the ecommerce platform will help us to develop our new business model targeting outbound travelers more efficiently and effectively. We also see many interest from duty-free shops in different countries, retail brands, as well as luxury brands. With all this, and our existing advertising business for international clients, we are targeted to deliver more than 30% of our revenue contribution from international business in 2019.
Fawne Jiang: Understood. Sammy, -- you have de-levered very impressive margin improvements quarter-on-quarter. Just wonder how should we look at the margin profile for 4Q? And related to that, how should we look at the overall margin profile for 2019? Is there a timetable you expect to company to breakeven at some point?
Jie Jiao: Hi, Fawne, this is Jie. We expect to just release the 2019 outlook in the next quarter. So probably we have more visibility from the advertisers and the marketers in early January. Our marketing technology business continues to be a sold growth driver, and we don't expect a substantial slowdown of this business in terms of the gross sale and budget 00:02:06] and the belief that 20% to 25% year-on-year growth is our baseline likely next year. Well, in terms of the margin improvement, the marketing tech business shall remain in the 22% to 24% range [indiscernible] the gross profit margin percentage. On the non-marketing technology business and the new business models, I think Sammy and Yan just explained; have higher margin products and solutions. And we expect that our overall margin shall be able to be improved upon significantly with minimum 2% to 3% add-on.
Fawne Jiang: Understood. Thank you. That's all my questions.
Operator: Thank you. Our next question is from the line of Virginia Yu of Citigroup. Please ask your question.
Virginia Yu: Hi, management. Thanks for taking my questions, and congratulations on a very solid quarter. I have three questions here. So number one is I want to drill down a little bit on the guidance part. Since we are changing the guidance on net revenue and not the gross billing, we attribute that to the change of -- because of the currency. But can you explain a little bit more why we changed the revenue only but not the gross billing. And number two is more about on your CRM product. So, Sammy, you mentioned the CRM product; you expect it to contribute around 10% of the gross profit in 2019, and you also mentioned that you also have like a [indiscernible] profile. So I would assume probably contribute less than 10% of revenue, in 2019. So in terms of the splits between the advertising business, of media business and non-media business, how should we look at it in 2019, is it like a roughly 75-25 split or -- yes, how should we look at it? And the third question is more on the big picture. Given management mentioned lots of initiatives and lots of different plans going forward, like the new products or going internationally or potential M&A targets. How do you prioritize that, and with this type of priority change given any change or uncertainty in terms of macro situation in 2019 or any change in terms of China-U.S. relationship? Thank you.
Terence Li: Hell, Virginia. This is Terence. I think for your first questions about why are we changing the guidance only on the net revenue, but not on the gross billing, I think the gross billing is an operational benchmark of our business growth. And that's still pretty strong at the moment, and right now for the first three quarter, we already finished a $300 million gross billing budget. So, it's not saying that it is not impact by the kind of foreign currency translation. But right now, the gap between that $300 million and our kind of like guidance $380 million to $420 million is basically an achievable target and we are pretty confident on that. And that's why we don't change gross billing kind of a like a guidance. But in terms of the net revenues, I think because we are looking at the current first three quarters' performances, and overall still on track operationally. But right now looking at the gap between that and our guidance, we believe that it would be more prudent because we are not pretty sure about currency fluctuation and macro environment. So, we tend to be a little bit more prudent in terms of that. So that's why we are changing one guidance and not shifting to other, and that's for your first question. And for your second question, basically about how we should look at into our like a marketing type business and non-media kind of strategies that we are pushing in 2019, so as Sammy also mentioned, basically we are working on new presentation format to help the investor and analyst to understand how we look at this two business. And right now our own estimation as Sammy also mentioned, we will have like 10% minimum kind of gross profit contribution. In terms of revenue basis, yes, it would probably be kind of like in single digit percentage because our revenue base is little bit bigger. But the contribution of that to our overall profitability would be huge as Jiao also mentioned, he would be able to contribute at least 2% to 3% in terms of gross profit. So right now, we look at the non-media business more as a kind of like a gross profit contributor to our whole business, and we would give them a new way on the two businesses in the future. So for the third question, I think I would pass it back to Sammy.
Sammy Hsieh: So, I just want to repeat that Virginia your last question, the number three question will be regarding the area of our acquisition like target, right?
Virginia Yu: Yes, I guess, frankly just focus, because you have like CRM initiative is pretty new to the company. And then, you also have some international expansion plans, and also on top of that, there will be like M&A target. So what is different business direction that company is going towards in 2019? So what would be your priority? And with this type of priority change with macroeconomic situation changing or China's relationship to U.S. with international world change would that change the priority as well?
Sammy Hsieh: I think our priority -- our focus is focusing on how we can help our clients, our marketers with our AI and also our technology platform. So currently we have over 3000 of clients in our existing client pool. So what we are helping them is on advertising solution. What we want to do is trying to up sell our current client with our new offering -- product offering. For example, moving shift migrating from just like one single touch point to advertising solution to a more like a marketing automation solution; for example, like CRM, data integration. And there is a second part in our not shifting in our focus due to other countries because organically we already have 30% of our business coming from overseas, which in certain we have the advertisers relationship with the agencies and also the direct marketers which we want to expand into our current relationship and also our product offering trying to up sell them with more like product we are going to give. So, this is our care like key like expansion focus in 2019.
Virginia Yu: I see, very clear. Thank you very much.
Operator: Thank you. Our next question is from Bo Pei of Oppenheimer. Please ask your question.
Bo Pei: Hi management. Thanks for taking my question. My first question is regarding the CRM. Can you just talk about -- talk a little bit about how is the -- what is the business model? How do you get paid? I think you already have some current customers on that front. So, you just give more color like how do you get paid? Is it like upfront fee or a subscription fee that kind of thing? And then my second question is on you mentioned lot about new initiatives like CRM, BI and international expansions. So, I think the gross profit firm is pretty higher already. So can you talk about what kind of investment on operating lines you have to make like sales and marketing and research that kind of thing? Thank you.
Sammy Hsieh: Okay. Sorry. I think first of all, thanks for the question. So, first of all as I covered, we have seen that there [indiscernible] from our clients, for the CRM offerings, with the collaboration about Tencent Cloud, the Tencent mini-programs. As the international brands continue to struggle about the data integration so which expect that all this like CRM offerings, first we target trying to help our marketers how to consolidate all this different data from different channels. So, first of all, we are charging at this client on a set-up fee, and then, about the annual maintenance, we are planning to charge 20 units, 25% of the maintenance fees going forward starting from second year, so that can help us to have a more tightened relationship, and also, if they can help us to drive recurring revenue relationship with our client.
Terence Li: And in terms of the cost or the investments that we did to put into this new initiative -- by then way this is Terence. And basically there are two pros or two or ways that we are going to invest on that. First is from an organic basis that we would be with the team. And also actually over the course of the quarter, we actually employ more people. So we have increased our headcount. So, we are investing a bit more on R&D and also some new team acquisitions. And they are not substantial, but we are going to speed up this. Actually, we have another option which inorganic basis which could pretty quick for us to kind of ramp up this business. But, of course, there was someone or one time capital ejection on that. So right now, the company is working different options. And going forward, whether your concern would be this would substantially change our cost structures and expenses and the kind of like operational leverage that we have. And at this moment, I don't think we will see that kind of operational leverage being changes. As we always have the good operational control in terms of expenses, we don't foresee these to be kind of like margin erosion. We expect these businesses to be margin contributor and would bring a lot of leverage to us in terms of bottom line as well.
Bo Pei: Thank you, Sammy, and thank you, Terence, that's very helpful.
Operator: Thank you. [Operator Instructions] All right, as there are no further questions, now I'd like to turn the call back to our presenters. Please go ahead.
Lisa Li: Thank you once again for joining us today. If you have any further questions, please feel free to contact iClick's Investor Relations department through the contact information provided on our Web site. Thank you again.
Operator: Thank you. Ladies and gentlemen, that does conclude our conference for today. Thank you for participating. You may all disconnect.